Operator: Greetings, and welcome to the AerSale Inc., Third Quarter 2022 Earnings Call. During the presentation, all participants will be in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded today, Tuesday, November 8, 2022. I'd now like to turn the call over to Kristen Gallagher, Human Resources Director. Please go ahead.
Kristen Gallagher: Good afternoon. I'd like to welcome everyone to AerSale's third quarter 2022 earnings call. Conducting the call today are Nick Finazzo, Chief Executive Officer and Martin Garmendia, Chief Financial Officer. Before we discuss this quarter's results, we want to remind you that all statements made on this call that do not relate to matters of historical fact should be considered forward-looking statements within the meaning of the federal securities laws, including statements regarding our current expectations for the business and our financial performance. These statements are neither promises nor guarantees, but involve known and unknown risks, uncertainties and other important factors that may cause our actual results, performance or achievements to be materially different from any future results. Important factors that could cause actual results to differ materially from forward-looking statements are discussed in the Risk Factors section of the company's annual report on Form 10-K for the year ended December 31, 2021, filed with the Securities and Exchange Commission on March 15, 2022, and its other filings with the SEC. These filings identify and address other important risks and uncertainties that could cause actual events and results to differ materially from those indicated by the forward-looking statements on this call. We'll also refer to non-GAAP measures that we view as important in assessing the performance of our business. A reconciliation of those non-GAAP metrics to the nearest GAAP metric can be found in the earnings presentation materials made available on the Investors section of the AerSale website at ir.aersale.com. With that, I'll turn the call over to Nick Finazzo.
Nicolas Finazzo: Thank you, Kristen. Good afternoon, and thank you for joining our call today. I'll begin with a brief overview of the quarter, including operational updates, and I'll then turn the call over to Martin to review the numbers in greater detail. As we do every quarter, we believe it's important to remind investors that our financial results are typically uneven quarter-to-quarter, and we recommend our performance be analyzed on a full year basis. This results from the nature of our flight equipment sales programs, which tend to occur at irregular intervals throughout the year. The pacing of our revenue in 2022 is no exception to this phenomenon as the timing of flight equipment sales created record first and second quarters, followed by a lower third quarter with an anticipated strong finish to the year. The underlying growth and volume of our business has remained robust throughout this period. And I'm pleased to report that all but two of our flight equipment sales that were contemplated when we issued our initial 2022 guidance earlier in the year have now closed. I'll comment on the remaining two planned flight equipment sales in a few moments. Turning to the details. In the third quarter, we reported consolidated sales of $51 million, which compares to $73.3 million in the prior year period. Our adjusted EBITDA during the period was a loss of $500,000 compared to a gain of $13.9 million in the third quarter of 2021. As I noted, the lower sales during the period were entirely the result of the timing of flight equipment sales being pulled forward into the second quarter or delayed into the fourth quarter. Year-to-date, sales have grown 40.1% to $313.4 million and adjusted EBITDA has increased 16.2% to $70.5 million. Further, excluding the effect on adjusted EBITDA from CARES Act support in the prior year, our adjusted EBITDA increased 53.6% year-over-year. We are proud of these results, and we're in position to finish the year as we anticipated. Turning to segment performance, beginning with Asset Management Solutions. Third quarter sales were $20.6 million compared to $48.9 million in the prior year period. During the quarter, our flight equipment sales were just $2.7 million, which included two engines compared to $27.4 million in the prior year period, which included three aircraft and one engine. Looking forward, we have contracted for 12 additional Boeing 757 P2F conversions from multiple providers, which will extend the P2F program through the end of 2023. Included in this 12 are the two aircraft I mentioned earlier that were part of flight equipment sales in our original 2022 guidance. We pulled these two aircraft from sale as passenger aircraft in 2022 to higher-margin opportunities for their sale or lease as P2F converted aircraft in 2023. In our USM parts business, airframe and engine part sales were lower than the prior year period, mostly as a result of extended turnaround times for overhauled parts. As we look out beyond the next couple of quarters, we anticipate USM sales to improve as we're able to execute on the broadening asset availability in the market. In our leasing business, revenue was flat compared to the prior year as more engines on lease nearly offset lower aircraft lease revenue. In our TechOps segment, sales increased sharply by 24.5%, driven by improving results from our landing gear and component MROs, coupled with strong MRO performance at our Goodyear facility during the period. Regarding AerAware, we're making steady and consistent progress towards certification. We've now requested the FAA to schedule our final certification flights, which we expect will commence in the coming weeks. While we're excited to begin our final flight testing, we caution investors that performance of the flight test requires specific weather conditions to demonstrate the system. Potential weather delays and FAA availability notwithstanding, we anticipate we'll receive our supplemental type certificate, or STC, shortly after completion of testing. Certification of AerAware will make AerSale the first to certify a head wearable display as a primary flight display on a commercial transport aircraft. As we're nearing the commercialization phase of AerAware, we've continued to step up our marketing efforts with airline operators. We're currently working with several potential launch customers to model the cost savings and efficiency benefits of the system. The capabilities of AerAware are clear and compelling. And aircraft equipped with AerAware enhances safety and reliability, is expected to have lower greenhouse emissions and can produce tangible cost savings to operators by limiting weather-related congestion and delays. Importantly, AerAware product availability couldn't be timelier for airline operators and other commercial air travel stakeholders. As the global airline industry struggles to meet higher passenger volume amid airport congestion and increasing weather-related delays. AerAware directly addresses and helps alleviate these important problems. In summary, with just a couple of months left in the year, we're on pace to reach our full year financial guidance and are primed to deliver a strong fourth quarter. We'll soon bring AerAware to market with multiple potential launch customers. Our backlog of Boeing 757 P2F conversions remains robust, and we're very well positioned to continue our momentum into 2023. Now I'll turn the call over to Martin for a closer look at the numbers. Martin?
Martin Garmendia: Thanks, Nick. I will start with an overview of our third quarter financial performance and end with our guidance for 2022. Our third quarter revenue was $51 million, which included $2.7 million of flight equipment sales comprising of two engines. Revenue in the third quarter of 2021 was $73.3 million and included $27.4 million of flight equipment sales, which consisted of three aircraft and one engine. If we exclude flight equipment sales, our third quarter revenue would have been $48.3 million compared to $45.9 million in the third quarter of 2021. As a reminder to investors, we delivered a B747 freighter in the second quarter that was originally slated for the third quarter. We also delivered the final internally converted B757 passenger to freighter or P2F aircraft in the beginning of the fourth quarter that was also originally planned for the third quarter. As we have noted during multiple earnings calls, our business may, and often does, fluctuate from quarter-to-quarter based on the timing of flight equipment sales. It is, therefore, important to monitor our progress based on asset purchases and sales over the long term. Third quarter Asset Management Solutions, or AMS, revenue declined 57.9% to $20.6 million in the third quarter of 2022, primarily due to lower flight equipment sales. USM parts sales were also lower in the third quarter of 2022 due to extended turnaround times for overhauled parts during the quarter. Leasing revenue of $7.8 million in the third quarter of 2022 was close to third quarter 2021 leasing revenue of $8 million, as engine demand from wide-body freighter operators partially offset lower revenues from aircraft leasing with only one aircraft on lease during the current quarter. Excluding flight equipment sales, our third quarter AMS revenue would have been $17.9 million compared to $21.5 million in the third quarter of 2021. Within our USM parts business, we continue to see an increasingly favorable market for feedstock availability against the backdrop of growing demand for airframe and engine parts as airline USM part consumption expands. In addition, demand for B757 P2F converted aircraft is expected to remain high, and we are well positioned to monetize on an additional 12 B757 aircraft in 2023. Third quarter revenue from TechOps was $30.4 million, an increase of 24.5% from the third quarter of 2021 as a result of strong performance from our landing gear and component MROs. At the beginning of the fourth quarter, we transitioned the P2F conversion program from our heavy MRO facility in Goodyear to multiple third-party providers that will perform the additional 12 P2F conversions. This transition follows the completion of our final internal P2F conversion, which was sold at the beginning of the fourth quarter. We expect this transition to improve our capacity for third-party work, enabling us to generate additional revenue going forward, while maintaining the economics of our P2F conversion program. Offsetting the improvements previously noted, on-airport MRO activities at our Roswell facility declined due to fewer customer aircraft in storage as compared to the prior period. Third quarter gross margin was 30.4% compared to 33.6% in the third quarter of 2021, largely as a result of an unfavorable product mix driven by lower flight equipment sales, which typically have higher margins. Selling, general and administrative expenses were $24 million in the third quarter, which included $4.4 million of noncash equity-based compensation expenses. Selling, general and administrative expenses were $22.8 million in the third quarter of 2021, of which $8.7 million were noncash equity-based compensation expenses. Loss from operations was $8.5 million in the third quarter compared to 2021 third quarter income from operations of $1.8 million. Net loss was $9 million in the third quarter compared to a net loss of $1.6 million in the third quarter of 2021. Adjusted for noncash equity-based compensation, mark-to-market adjustments related to our private warrants, secondary offering costs and relocation costs, adjusted net loss was $1.9 million in the third quarter as compared to adjusted net income of $9.2 million in the third quarter of 2021. Diluted loss per share was $0.17 for the third quarter compared to diluted loss per share of $0.04 in the third quarter of 2021. Adjusted for noncash equity-based compensation, mark-to-market adjustments related to our private warrants, secondary offering costs and relocation costs, diluted loss per share was $0.03 in the third quarter versus diluted earnings per share of $0.22 in the third quarter of 2021. Third quarter adjusted EBITDA was negative $5 million, while adjusted EBITDA in the corresponding year ago period was a positive $13.9 million. Adjusted EBITDA was adversely impacted by the lower amount of flight equipment sales this quarter, which generally have higher margins. AerSale did not receive any payroll support program proceeds during the third quarter of 2021 or 2022. Year-to-date cash used in operating activities was $2.4 million through the third quarter compared to cash flow provided of $26.4 million in the third quarter of 2021. The key driver of the decrease in cash generation was an increase in inventory purchases at advanced vendor payments in support of our P2F conversion program as well as the reversal of $12.5 million of previously collected deposits related to a completed flight equipment sale that is reflected in cash flows from investing activities. At quarter end, AerSale had approximately $151.4 million of cash on its balance sheet and an undrawn revolver capacity of $150 million. Finally, moving to our guidance for 2022 and summary. As a result of our strong performance during the first three quarters of the year and having closed on all of the remaining flight equipment sales that had been contemplated in our full year guidance, we are reaffirming our '22 guidance for revenue of $420 million to $450 million and adjusted EBITDA of $80 million to $90 million. Looking forward beyond 2022, we expect flight equipment deliveries on our 757 P2F program to accelerate in 2023, coupled with meaningful contributions from AerAware as we anticipate product deliveries to commence. In summary, we are pleased and encouraged by the underlying performance of our business, notwithstanding the timing related to flight equipment sales. We remain confident that the strength of our purpose-built model and our excellent execution capabilities will continue to exceed our expectations over the next few quarters. With that, operator, we are ready to take questions.
Operator: Thank you very much. [Operator Instructions.] Our first question comes from the line of Gautam Khanna with Cowen. Your line is open
Gautam Khanna: Hi. Good afternoon, guys. I had a couple of questions. First, I was curious on the Q4 equipment sale. What does - how big a revenue item is that to start with?
Martin Garmendia: So, we don't give exact numbers on the overall flight equipment sales. But as Nick noted, that will put us in a position to meet the overall guidance that we provided for the full year.
Gautam Khanna: Got it. So, it's pretty chunky. The other thing I was curious just on AerAware, if you could kind of update as you mentioned weather permitting and FAA time and all that. But is the software totally locked down at this point from what you know? And how long a process do you think it will be to do the flight hours from here? And what's a realistic time frame for an initial order from a large customer?
Martin Garmendia: Okay. So, regarding - I'll try to answer the three questions you asked. Regarding weather and what do we need to see when we fly this aircraft and demonstrate it to the FAA. So, the mention about specific weather was the FAA has told us that we've shown them video of different weather conditions, fog, sleet, snow, hail, smog, sand because we have same storms in Goodyear. And so, they've seen that. But the one thing that they insisted on is that they'll accept a lot of that video from test line that we've done, but they need to see the airplane in foggy conditions. So, they need to see that - we need to - when we get the FAA on the airplane, we've got to go find an area with fog in the morning or whenever, and we've got to demonstrate the system to them. So, that's - this is a good time of the year for that. There's fog in many sections of the country in the morning. So, when we get the FAA on the airplane, we're going to have to fly the airplane to wherever that fog is and demonstrate it to them. So, I can't predict for sure when or where we're going to find fog, but that is - we specifically are going to have to demonstrate the operation of the system in foggy conditions. We are coming up on the end of the year as we have heard many times from the FAA as they approach the end of the year, a number of the FAA personnel, if they don't use their vacation time, they lose it. So, I'm a little concerned that we - we're ready. Airplanes ready, crews ready, system is checked, software is validated. There are no technical reasons for us not to do our demonstration flights. All of the things we have to do for the FAA for the FAA to allow us to demonstrate the airplane we've done. So, now we're in a waiting mode. We've asked the FAA for dates. I have stated that, that could happen in as soon as weeks. So, when could it happen? I mean, literally, it could happen in as soon as weeks. Are we likely going to start it next week? No. Could we start after Thanksgiving? Why not? It's really up to the FAA to give us a slot in their flight schedule and to make sure that we have all the required FAA personnel on board. It won't be AerSale holding up the start of those flight testing. It will just be whenever we can get the FAA to allocate time for us to fly the airplane, assuming we can chase the weather, assuming we can keep all the required FAA people on the airplane for the duration of the flight testing. Now how long will the flight testing take? We think not longer than a week and probably not more than a few days of flying. But again, depending on availability of personnel and chasing weather, it may take a week, but it won't involve it necessarily a week of flying. With respect to when do we expect to get a launch order from one of a number of potential launch customers, some very large, some not so large. We're talking 737 at this point. We are also in discussion with potential customers for multiple other aircraft type and OEMs for installing this system or a similar system and brand new aircraft coming off the factory coming off the assembly line. Let's put that aside. That's something that will happen in the future. With respect to the 737, we expect that once we have certification that we will get an order likely within 90 days. I can't think of a reason why it should take longer than 90 days, especially with the customer that we've been showing the airplane to over the past year, who's been on a number of our flights. I don't know why it would take longer than 90 days to get an order. We're already producing kits to begin installation for next year. So, we're anticipating that we will have a demand for kits next year that we can start installing an aircraft. And So, I know that's not a short answer, but I would expect within 90 days, we will get our first order after we're certified. Now, that's not a guarantee. That's my best guess.
Gautam Khanna: Yeah. That's fair. Thank you. I was going to also ask on the USM turnaround time, you mentioned some constraints there. If you could just elaborate on what were the bottlenecks? And have those been resolved? Or is that sort of an ongoing issue? If you could just elaborate on that.
Nicolas Finazzo: Yeah. That's - I mean there's been a lot of discussion internally about that on what can we do to get more availability of USM. And the frustrating answer is that turnaround times for everything, whether it be getting aircraft torn down in foreign locations or even U.S. locations due to labor constraints, things that would normally take 30 days, 45 days to tear down an airplane, we have to get in line. If we're not doing it ourselves, it could take three, four, five months to get an airplane torn down so that we get access to the USM that we can then get refurbished, whether we do it internally or whether we do it externally. When we send out parts externally to get refurbished, what would normally be a 45 to 60-day turnaround time is, in some cases, taking six months to get a part back. So, we've got more - we've got - we have more inventory sitting at vendors in process being overhauled mostly engine parts than we've ever had in the history of the company. That's because there's just the lead times or the turnaround times are so extended. Now how is that going to get fixed? I don't think that's going to get fixed anytime soon. I think that's - that's a multiple year problem. How do we fix it? We just keep feeding the system. We're not, not buying just because there's extended turnaround times. We're buying. We're tearing down. We're getting the products out to the vendors to get them overhauled. We're putting them in the queue. And when we get them out, we'll have had enough pre-sell time probably to sell them when we get them out. So, other than what we're suffering through right now, the feed into the system will eventually be consistent and then the output will be consistent. It's just not there today because we're - as we're just acquiring equipment and putting it in, we're still in the weight mode. But we expect a steady flow of materials starting to come out, but with extended turn times. And I think it's unavoidable. I can't call or predict when that's going to abate, but my expectation is it's potentially - its years before that's going to be.
Gautam Khanna: Thanks, guys.
Operator: And your next question comes from the line of Bert Subin with Stifel. Your line is open.
Bert Subin: Hey, good afternoon. Maybe staying on the AerAware conversation. I know this has gotten moved out to the right a couple of times out of your control, just due to sort of the constraints with getting the STC [ph] and getting that finalized. Could you just give us maybe, Nick, what your bull case is on approval and ultimately the resulting sales and maybe what the bear case is? Is there sort of any potential that this would get moved to 2024? Or do you think pretty solidly in '23? And it sounds like from the conversation you're having with potential customers that you think that there could be demand to start getting those kits moving?
Nicolas Finazzo: Okay. That's a good question, Bert. Thanks for asking. The bull and the bear case, the bull case, which doesn't feel like a bull case, it feels more like a base case is the certification flight testing is imminent. Again, literally, it could be in weeks. Could it be in months? I don't think so. If I would - if I believed it would be in months, I would have stated that in the next several months, we'll get it certified. I think it's in - or do our flight testing. I think it's in the next several weeks. Typically, when flight testing or flight test certification is completed, typically, that's the last step in the certification process. Once it's completed, satisfactorily, and we expect it to be completed satisfactorily because we've flown the airplane and already demonstrated that it does what the regulations require, typically, at that point, you prove what you already know, you demonstrate it to the FAA. When that's completed, they do all their homework, they check all their boxes. Within 30 days, you get an STC. That's typical. So, let's take best case, bull case. It's - it won't happen next week because it's too early. Let's say --and then you've got Thanksgiving coming up soon thereafter. Let's say, we get it after Thanksgiving, maybe early December, we do our week of flight testing, we finish no issues. We don't expect there to be any issues, and we are coming up on a Christmas break. And hopefully, by then, the FAA will have done everything they need to do from a documentation point of view to go through the process of issuing the STC. We got Christmas involved. So, I don't expect we're going to have it in December. But I would expect if we do our flight testing in late November, late this month or early December, we will have the STC [ph] in January. And I think that, that really is the base case, too. I don't even think that's the bull case. The bear case could be we can't get the FAA to commit to flight testing this year. It flows into early January, and then everything shifts from there. That is the same thing. We get flight testing in early January when everybody comes back from vacation. Then it's a week of flight testing, 30 days to wait to get STC issuance that I think the bear case is the end - is mid to late first quarter. I don't have a bear case that says this would drag out significantly. There's no reason for it to drag out. The FAA has a responsibility to do the flight certification testing for us and to issue the STC when we've met all the requirements. And just so you know, the attitude of the FAA is very positive. They - this is new technology. This will be the first system with a head wearable display to be certified with this type of advanced technology. It's what was envisioned as one of the initiatives of the next-generation air traffic control system. The FAA wants to get this system certified. I think they all want to be a part of it. But remember, in light of the MAX, the FAA is being super cautious. So, we got a lot of people looking at this, which is good. We're - other than the fact that we've had to suffer through how long it takes. We'll have a good, solid prudent system that the FAA is comfortable with, and we will have the certification of this system, latest, I think, first quarter, latest at the end of the first quarter. I can't - I have no reason to tell you that it would - I can't think of a reason it would extend past the end of the first quarter.
Bert Subin: And So, let's say, if the bear case plays out, and this is sort of a March is when this is fully completed and you said sort of you would expect an order of 90 days, so maybe that puts you into the second quarter. In thinking about that, I know there's that regulation, you have to have at least half of the aircraft outfitted with this. So, if we're talking about a large fleet of 737 something a 300 fleet airline. How - can you walk us through how that process would work if you have to do 150 of these kits in order for that airline to use it, how long that takes and sort of how that process plays out?
Nicolas Finazzo: Yeah. So, there's two pieces to that. One is manufacture and availability of the Elbit components, the Elbit Universal components, which be the camera, the head wearable displays, the eye tracker, the flight computer deck [ph] it ties all that into the main aircraft system. So, that hardware has to come from Elbit/Universal. So, we have primed the pump there and placed an order for equipment to ensure that we'll have available equipment from Elbit to commence installations starting now. I mean, we have a certain number of kits already in stock, and there are kits being made available to us on an ongoing basis to fulfill the $33 million [ph] order that we made earlier in the year. We also are in the process of building up our capacity to manufacture the install kits. We've got multiple kits already that have been manufactured each month that's improving month-over-month. Our expectation is that we'll be at capacity to build as many as 20 to 25 kits a month in - starting in 2024. And so, we're building to that capacity. We will have kits for '23, assuming. I mean, we have the hardware in '23 and an order in 2023. We expect to have substantial deliveries of kits in '23.
Bert Subin: Okay. Maybe changing gears. I just want to make sure I understand it. This is a question probably for Martin. Can you just help us understand the cadence of maybe 4Q in 2023 P2F sales? And what number of aircraft of that 12, I guess, in total, that's 13, what number of those you currently own and sort of what your expectation is for that sales process? And then maybe lastly, how should we think about engine sales? Just trying to get an idea for the cadence of whole asset sales?
Martin Garmendia: Sure. So, of the 12 P2F converted assets that we are doing. In fact, the first one is already ongoing at a third-party facility. We are deploying three facilities to do that work. So, delivery of those assets will be more evenly spread through 2023 than they were in 2022. So, I know that will make - probably life easier for you guys in modeling that overall. Of the 12 assets, we own seven. Nick noted we strategically deferred two assets that were going to be sold as passenger to freighter to put him into the P2F conversion program to generate higher returns overall. We're in negotiations already and looking for the additional five. We're in negotiations to buy already three or four of those assets. So, we're in a good position to have the full feedstock that is needed to fulfill that overall, 12 aircraft demand. From an overall engine perspective, again, we continue to purchase engines in the overall market. And obviously, we have inventory available as well overall in timing. That timing was obviously as opportunistic as items go through it. As a reminder, these are not new engines, these are used engines. So, they're all sold in a spec basis, so, we need to identify buyers. So, as far as kind of the quarterly projections of that, it's difficult to tell, but we definitely have a good amount of inventory available to us that will feed 2023 engine sales and leasing and USM sales through 2023.
Bert Subin: And just so I understand that cadence correctly, the 12 would be one in 4Q and 11 next year? Or is that one plus 12?
Martin Garmendia: No, no. That aircraft is currently being delivered, but it will not - sorry, being converted, it will not be ready for delivery until 2023. So, all 12 aircraft are expected to be available for sale or lease in 2023.
Bert Subin: Okay, that helps. And just last question for me. Thinking through maybe more of the sort of the core business of MRO, and I know you walked through the USM part earlier. How do you expect that business to hold up sort of in this backdrop? Air travel demand has been resilient and capacity keeps coming back, aircraft are aging, cargo is slowed, but still been strong. Like would you expect MRO now that you're putting more capacity towards that to continue to build? And is there any sort of difference in trends you're noting between component and aircraft and engine MRO?
Nicolas Finazzo: So, yes, as you noted, we've seen a lot of positive momentum in that overall side. That's why we strategically moved the P2F conversions to third parties. And that's the best of both worlds. We continue to preserve the margins that we've been able to make in that overall program and have additional third-party capacity overall, and that's in the heavy MROs. And our component MROs and our landing gear shop, we definitely have seen that increase in demand from passenger and still strong freighter overall demand. So, we have a lot of capacity to continue to grow. So, we continue to see that kind of forward projection through the remainder of 2022 and in through 2023.
Bert Subin: Thanks for the color.
Operator: [Operator Instructions] Your next question comes from the line of Ken Herbert with RBC. Your line is open.
Ken Herbert: Hi. How are you doing this evening?
Nicolas Finazzo: Yeah. We're good.
Ken Herbert: Yes, Nick, maybe just to start off, on the 12 aircraft expected to convert in next year, how many of those would you expect in 2023 to actually be selling versus how many would you expect to just put out on lease for maybe sale at a future date?
Nicolas Finazzo: I don't know specifically what that is. The - we have been talking to a number of customers about outright purchases of the aircraft after they are converted. We have a number of customers that are interested in leasing the aircraft after we convert them. And then as you've seen previously, if we put an aircraft out in a long-term lease, there are plenty of financial buyers that would buy the aircraft with a lease attached. So, it's hard for me to be able to specifically tell you we're going to sell, so, many airplanes we're going to lease, so, many airplanes. One way or the other, we expect to place all those airplanes next year in some form, whether it be as a sale or as a lease. If it's a lease, it's possible we'll keep some of those aircraft on lease depending on the circumstance, but more probable, if we put the aircraft on lease, we'll find a financial buyer to take the lease and then it will become a sale.
Ken Herbert: Okay. And as you think about these aircraft going into the conversion process, is there any risk that because of supply chain constraints or labor or anything else that you see delays on these aircraft coming out of the conversions?
Nicolas Finazzo: No. Fortunately, the availability of kits has been an issue and we're not seeing any significant delays. Not to say that there haven't been delays. I think the second airplane that we were to put into conversion is delayed while the vendor that's going to do the work is working through their contractual issues, not with us, but with the supplier of the kits. So, there are things that will have a minor impact and may have minor delays on that equipment coming out, but we don't see anything major. Those kits - we placed deposits for the kits that we ordered where we're finding the vendor to do the installation. And we also placed deposits on the conversions that our partner Precision is actually doing on that. And then they turn around and they order that material from their vendors and we're not hearing of any significant delay in the delivery of the kits to perform the conversions. And the conversions are on a really tight slot. So, there's a limited amount of availability of people who can do the conversions, and they have the labor to do the conversions, and they have available slots to do the conversion and they have lots of other work to do. So, you get to have your kit, you got to have your airplane and you got to have it in there at the time they have a slot and it goes pretty quick. It's pretty efficient.
Ken Herbert: Okay. That's helpful. And just with some of the slower growth on the cargo markets, obviously still fairly robust, especially for the 757s. But are you seeing any downward pressure at all on lease rates within that marketplace?
Nicolas Finazzo: Not the overall marketplace, not on 757s because there's a limited amount of aircraft out there. I think we're going to have the last 12 of 13 airplanes that get converted and then Precision won't be doing any more 757s. Now there are A321s out there that are being converted A320s, 737NGs and there's a lot of companies with book value problems that are converting airplanes to basically kick the can down the road and re-up the depreciation to, I don't know, 15 to 30 more years depending on how aggressive the opt [ph] lessees are being with that equipment. And we are hearing that there's a lot of availability of 737NGs hitting the market and that, that market is softening. Now that's part of the reason why you're not seeing us do any 737NG conversions because right now, the economics don't look good. It looks like you're just trying to defer depreciation over a longer period of time by making a conversion investment. So, yes, I do believe there's downward pressure on the cargo market, depending on the specific aircraft type, 737NG, I think, is an example of significant downward pressure because of the amount of availability of equipment, not seeing it on the 757. 767, everything that's out there, again, I've said previously that those are being committed by the large cargo carriers that operate large fleets of that type. There's very little availability of that. It's forcing people to look at converting A330s. There are some parties out there that now are looking at doing A330 conversions. That's probably -- maybe not as good as the 767, but there will be - there will be A330s converted. As I said, there are A321s out there. It doesn't quite do what a 737NG, I mean, 757 does, and it's going to be a little similar to a 737NG, but there's not as many of those being converted at this time to say that there's an oversupply of the A321s. So, I don't see a downward pressure on that market yet until - unless I'm going to say -- unless and until there becomes a flood of those airplanes that have been post conversion on the market and available and un-leased, but I'm not hearing that on the A321 yet. It doesn't mean it can't happen. I'm just not hearing it. So, yes, depending on each aircraft type, there are different pressures, positive and negative, on the narrowbody side, I think, that overall, I would describe that as there's a little bit of negative pressure on the - there's a headwind on the narrowbody side for a while. There's too much supply versus the demand. Not seeing it on the kind of the hybrid airplane or the middle of the road airplane the 757, lots of demand on the wide-body side on the 767 and up.
Ken Herbert: Yes. Okay. I appreciate all the color. And just one final question, if I could. Nick, when you look at - you've made a few comments on the USM market, and it sounds like the issues you're facing are getting material out of shops to resell it. What are you seeing in terms of feedstock? It sounds like you're seeing more feedstock, but are there - is that still supply constrained in terms of your ability to find engines or other assets to put into the USM pool? Or how is that trending?
Nicolas Finazzo: So, that's not a - that's a complicated answer, and I'm going to try to give you the best that I can. What we're seeing today, what we've been feeling for the last several years is an expected significant supply of older aircraft coming into our space and being the feedstock for our USM. We continue to buy airframes where the lessors or airlines are pulling off the serviceable engines and selling an airframe with maybe one unserviceable engine or just an airframe alone. So, we're doing very well on the airframe side, and we're buying more airframes now for part out than we've ever bought in our history of new issue planes. We're not talking about DC-8s. It's not about 737s, A330s, A320s; mid-technology equipment. We're buying more airframes than we've ever bought. So, you say, well, there's definitely - it's definitely not a lack of supply of airframe. Airframes historically represent about a third of our USM revenue, the parts that come out of airframes, roughly a third of USM revenue. Engines parts would be roughly two-thirds of USM revenue. However, we're not seeing enough engines coming out that are ending up being parted out. When we do get an engine for part out, what we're doing is a number of those engines that we're buying, we may be buying them at part out prices, but we're not even parting them out ourselves. We're refurbishing those engines and putting them back into service because we believe that there's higher value of those engines, those kind of good quality 737 engines, A320 engine, CFM56-5, B-2500s, CFM56-7. And so, we still see good quality engines. And if we have USM material that's available from other engines that we've decided to part out, instead of selling the really good stuff to somebody else to lower their cost of overhaul, we're keeping it and we're putting it in our own engines to overhaul. So, we're not necessarily pulling that material and putting it into our USM business to sell to third parties, we're consuming a lot of it. And so, that's also keeping the amount of USM that typically has represented two-thirds of our USM part sales, we're consuming it and it goes into a different form. Now it goes into a whole engine that will go out on a lease or we put on an aircraft where we're - that value won't get recognized until we sell the aircraft that, that engine is on. So, it's not that we're losing that value just we're not selling it into the USM side of the business. So, that's part of the issue with respect to the engines. The other part is between the engine problems on the A320neo, the 737 MAX long prolonged recertification and the amount of time that it's taking to get all those non-flying finished 737 MAXs back into service and the FAA requiring that it recertified or issue the original certification of every 787 coming out, that whole supply chain. Just for those factors alone are keeping the supply of that new equipment from getting into the market fast enough to displace the equipment that will ultimately come to us. And I've talked to a number of aircraft lessors who have indicated that in their view, that's several years before that problem goes away. So, there will be pressure on availability of USM material because of that - not to mention all the other external factors, potentially going into recession. The Russia situation, there's all kinds of elements that are affecting the availability of feedstock to feed the engine side of the business. But that doesn't seem to be as prevalent on the airframe side of the business. So, it's going to be hard. We have to hunt. We've got to figure out how to extract value out of every piece of whatever's available to us. We've got to figure out whether we should part out, sell the parts to third parties, part use the parts ourselves to return aircraft or engines to service. So, we've got to use our multidimensional model really to figure out where the best value is. And although it's easy to say, well, we're going to have a lot of USM to sell. I don't want to sell a lot of USM if there's a higher value for us to put it integrated into a bigger component, meaning an aircraft engine. So, sorry, it's for such a long answer, but it is a complicated issue and the answer is complicated.
Ken Herbert: No, I appreciate all the detail. Thanks, Nick.
Nicolas Finazzo: You're welcome, Kent.
Operator: And there are no further questions. I'll turn the call back to Nick Finazzo, Chief Executive Officer, for closing remarks.
Nicolas Finazzo: All right. Well, thank you for listening to our call today. Look, we will continue to work hard and smart to meet and exceed expectations. Nothing in the third quarter is reflective of our future prospects, all as well with AerSale and our future is bright. Have a good afternoon, everyone.
Operator: And all that will conclude the conference call for today. We thank you very much for your participation. You may now disconnect your lines.